Operator: Good morning, and thank you for standing by. Welcome to the Worley Full Year 2025 Results Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Chief Executive Officer, Chris Ashton.
Robert Christopher Ashton: Welcome, everyone, and thanks for joining Worley's full year results for the financial year ending 30 June 2025. I'm really pleased to be presenting these today with Justine Travers, her first results as Worley's CFO. So today, I'll share an overview of the business performance over the period, and Justine will provide details on our financial results before I conclude with an update on our strategy and our outlook. And then, of course, as usual, we'll be open for questions. Moving on to Slide 2. I just remind you of the disclaimer shown here. And before I begin, I just want to acknowledge the Gadigal people of the Eora Nation as the traditional custodians of the land on which I'm calling from today. We value the strength, determination and resilience of all First Nations peoples and communities around the world, and we're committed to the ongoing journey of listening and learning. And I extend that respect to any First Nations people joining us on the webcast today. Moving to Slide 3. I want to take you through our business performance for the final financial year. And so now we'll move on to Slide 4. Let me start with a few remarks on the environment in which we're operating. There's no doubt that this year has been challenging across all markets and geographies, and I'm super proud of how the Worley team has responded and the support they have provided to our customers through the uncertainty they themselves have faced. We've delivered another strong result, growing revenue, growing earnings and growing margins in line with our long-term strategy. This is the fourth consecutive year of growth, which is a significant achievement and speaks to the resilience of our business model and the disciplined execution of our strategy. Our competitive strengths, including our diversification, lower risk profile and strong balance sheet sets us apart from our peers. We're well positioned for growth. And while near-term operating environment remains challenging, the long-term fundamentals of our customers' end markets remain positive, and we're ready to capitalize on the growth opportunities that lie ahead. Turning to our performance highlights on Slide 5. In FY '25, our aggregated revenue increased 4% on the prior year. Our underlying EBITA grew 10%. And our underlying EBITA margin, excluding procurement, is 9.2%, which is above our outlook expectations of 8% to 8.5%. Our earnings growth is outpacing revenue and our cash result is at the top end of our target range with high cash conversion, a consistent feature of our results in recent years. And as you know, we commenced an on-market share buyback in March this year. And this initiative reflects the confidence we have in the company's financial position and growth outlook. The Worley Board has determined to pay a final dividend of $0.25 per share, which is unfranked. In FY '25, 60% of our revenue was derived from sustainability-related work, an increase from 52% in '24. And while we've seen a more recent shift in sentiment and investment spend, the strategy we set 5 years ago has positioned us well to capture this growing opportunity. And this capability is now very much embedded into the DNA of our business. I'm pleased with the progress we've made toward our own ESG commitments, and we've maintained leading ESG rating amongst our peers. Our Scope 1 and 2 emissions have reduced by 73% from our 2020 base, and we remain on track to meet our own net zero commitments for 2030. Moving on to Slide 6. Our highest priority is to keep our people safe, feeling included and respected. Our total recordable case frequency rate was 0.13 across the group, reflecting a strong physical health and safety record. And we're supporting our leaders within an operating model, which drives performance and growth, and we're preparing them with the development support as we increase AI adoption across the business. I'll come back to our AI readiness when I talk to our strategic priorities later in this presentation. Moving on to Slide 7. We continue to see structural shifts globally. Geopolitical tensions, trade and tariff volatility and other macroeconomic pressures are adding complexity and creating near-term investment uncertainty. However, we have confidence that global demand persists in our end markets with security and affordability and sustainability continue to shape our customer decisions. In this environment, our business model has demonstrated our resilience, built on our agility, diversification and improved risk management and strengthened by our global footprint and scale. Our deep customer relationships result in trusted long-term partnerships and our respected industry expertise and quality delivery underpins our success. Financial discipline, one of the Worley's many strengths differentiates us from our peers with a strong balance sheet, good cash generation and excellent liquidity to fund growth, giving our customers confidence in our ability to deliver. And finally, we're embedding advanced digital initiatives, including AI into our organization and ensuring we have the right foundations to leverage the opportunities ahead. Moving to Slide 8. This slide highlights our diversification, which in a shifting market demonstrates our ability to be agile and adapt to the market as well as our customers' changing priorities. We have broader end market exposure than many of our peers, and we maintain early mover positions in high-growth markets. We remain closely aligned with our customers and can support them across their entire portfolio and along the value chain with the agility to do so wherever they're investing their capital. And finally, let me reiterate our focus on risk-adjusted returns and low risk appetite. Over 80% of our work is through reimbursable contracts and over half of the fixed price work relates to professional services. Importantly, unlike many of our peers, we do not do and we will not do material competitively bid lump sum turnkey projects, which bring with them far higher business risk. Moving on to Slide 9. We recorded another year of solid bookings. In July, we received Full Notice to Proceed for the first phase of Venture Global's CP2 project. CP2 is a major LNG facility in the U.S. State of Louisiana and one of the world's largest LNG assets. We're providing engineering, procurement and construction client services to that project. Including CP2, the total value of bookings has increased 32% since June 30, 2024, to $17.1 billion. The strength of our bookings across energy, chemicals and resources together with 45% of work awarded on a sole-source basis demonstrates our strong customer relationships and trusted partnerships as well as the confidence customers place in our capability, experience and expertise for end-to-end delivery of complex projects. Turning to Slide 10. With the final investment decision for CP2 achieved on July 28, the remaining scope of work for CP2's Phase 1 has now moved from pipeline to backlog. Including CP2, backlog is now $16.9 billion, representing an increase of 22% since June 30, 2024. On a pro forma basis, excluding the cancellation of the $1.6 billion NorthVolt Sweden battery materials project, which was advised to the market earlier in the financial year, backlog has grown 4% in the year from June -- to June 30, 2025. Despite the softer market environment, we've not seen project cancellations nor material scope reductions in the second half of the year, and we're maintaining a healthy backlog of work. Moving to Slide 11. Our customers continue to take a disciplined approach to investment decisions. Even so, there are pockets of strength, and we maintain good visibility of opportunities ahead with 49% of our work in the pipeline expected to be awarded in the next 12 months. We also see a continued trend towards investment in traditional and traditional opportunities over the short to medium term. And we remain vigilant in monitoring our customers' decisions, whether this is the potential for any project delays or for opportunities presented by the changing landscape. As we move to Slide 12, we look at our performance across each of the sectors in which we operate. Our Energy sector, which includes oil and gas, power generation, networks and storage grew this year. We saw higher levels of activity as projects move through to execution phase, and we drove margin expansion through productivity gains, improved performance on some of our framework agreements and benefited from higher-margin work flowing through from backlog. In the near term, we expect integrated gas and oil to continue to be areas of significant demand and ongoing activity for us. We also see power for data centers as a key driver for energy. This supports demand across several areas of our capability and expertise, including transmission grids, battery and energy storage, nuclear, conventional and renewable power generation. Moving to Slide 13. Our work within the chemical sector was impacted by lower levels of activity, consistent with our expectations given the more subdued markets. Petrochemicals will, however, continue to be a driver of oil demand into the future. We see opportunities to offer our expertise in low carbon fuels such as sustainable aviation fuel mandates and -- because sustainable aviation fuel mandates continue to support demand. Chemicals will remain an important market for us, and we're confident of our customers' long-term investments in this sector despite the current challenges. Turning to Slide 14. Work in the Resource sectors contributed significantly to our result this year, continuing its multiyear growth trajectory. Since 2022, Resources revenue has grown an impressive 36% year-on-year. This year's result was driven by an increase in activity across fertilizers and energy transition material projects, and we expect these subsectors to continue to drive growth in the near term. We're seeing strong growth in Latin America and sustained activity across the Middle East, North America and Europe. Moving to Slide 15. I'd like to share some case studies which illustrate the types of work we're delivering. In Energy, we're delivering the major LNG terminal in Brunsbuttel, Germany. It's a strategically important project reducing Europe's reliance on Russian gas and builds on our Phase 1 work where we delivered a floating storage regasification unit in under 9 months. The new facility will import LNG from the U.S., highlighting our ability to support the full value chain. In Chemicals, we're working with SABIC in the Netherlands on an advanced plastic recycling unit, and this enables production of certified circular polymers as part of SABIC's TRUCIRCLE portfolio and reflects the strength of our long-term relationship. And in resources, we've been appointed lead integration delivery partner for Rio Tinto's $2.5 billion lithium carbonate plant in Argentina. And this facility will produce 60,000 tonnes of battery-grade lithium annually, and our role is to oversee all subcontractors and technology providers. I'm now going to hand over to Justine for further details on our financial results.
Justine Travers: Thanks, Chris, and good morning, everyone. After more than a year in the role of Deputy CFO, I'm now very pleased to have started my tenure as Worley's CFO, delivering another great result for our shareholders. 4 consecutive years of growth in revenue, earnings and margins is a good achievement. While we knew we were facing into a more challenging environment at the beginning of the financial year, the geopolitical environment and unexpected changes in U.S. policies since have created a more uncertain market than anyone could have predicted. Despite this, our business continues to grow, and we have delivered in line with our outlook. Our financial performance demonstrates 3 things. First, we can deliver consistent earnings growth. Second, our long-term focus on margin expansion continues to deliver improved earnings even in a challenging environment. And third, our capital management is a differentiator and key enabler, and we've maintained this strong position to support growth. Turning to Slide 17. Our aggregated revenue of $12 billion is up 4% on the prior corresponding period. Over the year, we saw an increase in construction and fabrication activity as well as a significant increase in procurement revenue. These were key contributors to this top line growth. This was in line with our expectations and reflects our current mix of projects. We expect this current mix to continue into this financial year with several large in-flight projects in execution phase. This is consistent with our long-term strategy to do more end-to-end project delivery. Bringing this all together and looking at group profit, we've delivered an underlying EBITA of $823 million, representing 10% growth on the prior corresponding period. Importantly, we have continued our trend of growing earnings at a higher rate than growth in revenue as our focus on margin expansion continues to deliver results. Underlying EBITA margin, including procurement, increased to 6.8% from 6.5% as at 30 June 2025. Underlying EBITA margin, excluding procurement, was 9.2%, up from 7.9% and above our guidance range of 8% to 8.5%. We've made a deliberate shift to higher-value solutions, leading to an improved rate and margin across all service types. Our underlying NPATA for the year is $475 million. This is up 14% on the prior corresponding period. And importantly, there are no one-off item adjustments in this result. Turning to the next slide. As Chris highlighted, key contributions to our earnings growth in FY '25 came from our Energy and Resources segment and from our work in the Americas and EMEA region. We also saw increased volumes driven by our stronger focus on end-to-end project delivery. As is typical of our half-on-half seasonality, we saw a stronger second half in both revenue and earnings, and we expect similar phasing looking ahead to FY '26. The EBITA margin walks on the right, show the main drivers of margin expansion over the financial year. Our progress towards high single-digit margins has been consistently driven by rate improvements over the period. Professional services, construction and fabrication and procurement have all delivered higher margins. While project mix has had a small impact, our strategy remains focused on margin expansion and winning work at higher margins is flowing through from backlog to revenue, and it's supported by a disciplined bidding approach. Strong project assurance through the project life cycle has also delivered productivity gains and improved performance on framework agreements. This ensures we capture the margins we sell. And of course, our result is strengthened by our agility and diversification across markets and geographies. Turning to Slide 19. As Chris highlighted, following receipt of the full notice to proceed on Venture Global's CP2 Phase 1 project, our backlog now sits at $16.9 billion. Approximately 50% of the $16.9 billion backlog is expected to be delivered in the next 12 months. This is a similar volume to last year. The backlog work that you can see on the slide shows that despite the challenging market we've seen no major cancellations over the last 6 months following the NorthVolt cancellation that we noted earlier in the financial year. The work in our backlog is well diversified across traditional, transitional and sustainable work. And as the chart show, we have a greater proportion of backlog in the Americas and the Energy sectors. As Chris has talked to, we remain well positioned to continue to support our customers across sectors, geographies and traditional transitional and sustainable work, which is particularly important in the current environment. Turning to Slide 20. Finally, I'd like to take you through our capital management position. You've seen this framework at many of our previous presentations, and it's an important framework which supports the decisions by which we manage capital effectively. It is tightly aligned to our overarching growth strategy, including how we manage risk, and it helps us communicate the decisions we make on how we're allocating capital. The reported cash conversion for the full year was 112.5% of underlying EBITA compared with 118% in the prior year. Our normalized cash conversion ratio, which accounts for the movements in advanced billings between periods was 94.9% compared with 99% from the last year. This result is at the top end of our target range and continues to reflect our strong underlying cash flows over multiple periods as well as our disciplined approach to collecting cash in the business. Our days sales outstanding was 52 days, down from 59.3 days at the same time last year, which continues to be below our target range. As Chris mentioned, we commenced our share buyback program in March, reflecting the confidence in our business. We have now purchased over 13 million shares for a total consideration of $168 million. We expect this program to be largely complete by the end of December, and this is just one component of a wider strategy to drive value for our shareholders. During the 2025 financial year, we invested $62 million as part of our investment program. This was a mix of capitalized expenditure and OpEx, which is included in our EBITA. Further investment will be directed towards activities aligned with our strategic priorities, particularly our ongoing investment in digital enablement and AI. And finally, we have been consistently delivering returns to our investors through dividends, and we continue to prudently manage our net debt. We are committed to ensuring we deploy capital where it matters most, where it aligns with our strategy and will deliver accretive returns and drive long-term shareholder value. We also remain deliberate in our consideration of these options, and we are careful to maintain a strong liquidity position, a key differentiator from some of our competitors. Our balance sheet strength is supported by leverage of 1.4x, which is reduced from 1.5x at 30 June 2024. We continue to demonstrate our prudent use of free cash flow to reduce debt, reduce risk and manage liquidity. We balance this with our interest in continuing to provide capacity to invest in business growth. During the year, we received a strong response from global credit investors, raising $400 million through a new 7-year bond, which will mature in 2032. More recently, we completed a private debt placement with one of the U.K.'s largest savings and retirement businesses with a 15-year term. We are committed to maintaining a diversified funding base, and we take a proactive approach to managing our debt maturity profile. At the end of the financial year, our weighted average cost of debt was 4.3%. This was down from 4.7% in June last year, and we expect this to continue to be in the range of 4.3% to 4.6% for FY '26. Our underlying effective tax rate on profit before tax and amortization of acquired intangibles was 33.4% for FY '25, slightly lower than the 33.6% for the prior year. And in FY '26, we expect this to be in a similar range to prior years, that is 30% to 35%. We are confident that our financial discipline and prudent approach to capital management sets us apart from our peers. And together with that expertise and capability remains an attractive and business-critical attribute for our customers. I'd like to finish by making a further comment about our cost management. Chris highlighted this as a priority at our Investor Day in May, and we'll talk shortly about an even greater commitment to resetting the cost base. While we have always been focused on cost, our operational restructure has provided an opportunity to take a fresh look at our business and streamline the work that we do. We are reviewing our overheads and looking to the future with a more efficient, technology-enabled and resilient cost base to support growth over the longer term. I'll now hand back to Chris to take us through outlook for FY '26.
Robert Christopher Ashton: Great. Thanks, Justine. Look, just before I take you through the outlook for '26, I'd like to briefly remind everyone of our strategy and highlight our current priorities. Our strategy is built on 3 pillars: to strengthen leadership in our core markets, expand into growth markets and along the value chain and innovate to unlock opportunities and drive importantly, efficiency into our business. And of course, it's supported by prudent capital management and a focus on excellence in operational performance. And we've maintained our growth momentum through the disciplined execution of our strategy. And I want to take you through our current priorities aligned with our strategy, which we will continue to focus our efforts to drive growth. So moving on to Slide 23. Our 5 priorities are focused on driving revenue growth while protecting and improving the quality of our earnings. And of that, our first priority is to increase our full project delivery service offering. As announced in May, our new operation structure positions us to win and deliver our customers' largest and most complex projects while sustaining growth across the base business. And the focus is to build scale and drive greater revenue and earnings growth without changing our risk profile. Our second priority is cost management, and Justine outlined just now that we've taken a disciplined approach to managing costs and are committed to resetting the cost base of the organization. We sharply controlled overhead, ensuring we have a leaner, streamlined and importantly, a tech-enabled cost base, preparing us and supporting for our long-term growth. Our third priority is margin growth. This is a continuation of our work to date on margin expansion, targeting higher-value work, delivery excellence and business productivity. The fourth priority is further scaling GID through our centers in India and Bogota, Colombia. GID is now 14.7% of our total hours, and our goal is, over time, to see more than 20% of hours work delivered through these centers. And finally, we're deploying digital. Worley is investing in and using technologies such as generative and Agentic AI to reduce manual efforts, improving consistency, delivering efficiency as well as the digitally enabled full project delivery capability. Moving on to Slide 24. As we deliver the 5 priorities I've just talked about, we're transforming the way we work. We're removing legacy complexity, simplifying our organizational structure and streamlining business processes to improve efficiency and drive consistency. By enhancing our cost discipline and productivity, we'll create a leaner, more efficient and effective organization. Importantly, this work prepares us to harness the full potential of AI and digital tools, enabling faster, more agile decision-making. And the outcome is clear. We're building the right foundations for future growth in an environment which demands agility, pace and a digital focus. Moving on to Slide 25. The group outlook. We and our customers continue to navigate current geopolitical uncertainty and shifting market dynamics. Executing our strategy and clearly defined priorities will underpin continued growth. We're focused on continuing to grow our base business while driving more revenue through winning and delivering more large complex projects, managing costs for a more resilient cost base and transforming the way we work to ensure we have the right foundations for future growth. We remain well positioned with a diversified business model, commercial and financial discipline, a strong balance sheet and structural macro trends driving demand in our customers' end markets. For FY '26, we expect a year of moderate growth and are targeting higher growth in revenue than '25, growth in underlying EBITA and expect underlying EBITA margin, excluding procurement, to be within the range of 9% to 9.5%. Beyond FY '26, importantly, I am absolutely encouraged by a stronger growth trajectory emerging, supported by the quality of our backlog and pipeline and favorable long-term market trends. Moving on to Slide 26. And before we open the call for questions, I'd like to reiterate the significant achievement by our people to deliver another strong result for our shareholders. The resilience of our earnings is underpinned by deliberate actions in the execution of our strategy. And while it's in the context of some near-term complexity, we see the shifting landscape as an opportunity. Our robust and resilient business model and strong long-term fundamentals in end markets positions us well for future growth. So that concludes our formal -- or the formal part of our presentation. And Justine and I will now answer questions that you may have. So over now to Q&A.
Operator: [Operator Instructions] Our first question comes from Shaurya Visen with Bank of America.
Shaurya P. Visen: Congrats on the results. Chris, just diving a deep bit on to your guidance, right? So if I sort of look at the revenue outlook, you called out revenue growth higher than prior year, which I'm presuming you sort of say having 4%. So could you just -- I'm not trying to get a precise number, but could you just help us think through the quantum of that, which of your end markets you are most positive about and where you would be a bit cautious. And again, just on the margin, obviously, great numbers this year and also on the guide. So as we think through the margin guide of 9% to 9.5%, what are you baking in terms of volume mix and rate if we start -- take the starting point as this year?
Robert Christopher Ashton: Yes. Let me answer your first question. So look, if we look at the growth opportunity going forward, one is if we look at our strategy to strengthen, expand and innovate, clearly, we're going to focus on the core markets that we've operated in and we've always operated in. But the expansion opportunity also comes as a result of some of our larger projects moving in the delivery phase, but also the fact that we've restructured the business and created a major projects and programs business line to capture more of an expanded addressable market. So what we're facing into going forward with the structure we have and the focus on major projects and programs is an ability to get a larger slice of a larger pie. And that's where we see opportunity. Of course, we have our global operations, our base business, and that will continue to focus very much on the work it is traditionally done with our customers. But it's a combination of both that will allow us to drive growth. And I think we've got headroom for that. And clearly, '26 is -- there's still uncertainty in '26. But even going into '26, we see growth opportunity and '27 and beyond, we see the market certainly recovering as sustained demand for our customer products remains in place. In terms of the mix, the margin, et cetera, I'm going to hand that one to Justine.
Justine Travers: Sure. Thanks, Chris. Look, on the margin, we've certainly guided to being able to maintain a margin between 9% to 9.5%. So this is the EBITA margin percentage excluding procurement. We have pleasingly seen increased margins across professional services revenue, across construction, fabrication and procurement. So across all of our service sectors, we've seen that growth. And that's really where we've been focused on pulling that through from our pipeline through to backlog, and you've seen that come through the FY '25 results. We've also, as Chris outlined, there's a number of growth levers that we've talked about. And they really -- a number of those are in service of being able to maintain that margin position. So if we look at the GID utilization that we've got, we've looked at margin expansion that we've talked about and we've looked at the cost management helps us look at a base that allows us to sustain that sort of 9% to 9.5% range. I think I encourage you certainly to look at the margin growth back over the last, not just 12 months, but 24 months, and we really had a lot of success there in the focus that we've taken on that.
Shaurya P. Visen: That's helpful. Just quickly on that, to think about, say, for next year, would it be fair to say that, that story would be quite similar to this year in terms of like the rates being the major driver? Or am I missing something?
Justine Travers: Look, I think it will certainly be a combination. We've seen FY '25, the rates are the driver of that margin growth that we've seen. I think in FY '26, we will see it as a combination of rates and the work that we do on those operational sort of excellence levers that we've outlined. It is a combination that allows us to actually be able to maintain at that level.
Operator: Our next question comes from Ramoun Lazar with Jefferies.
Ramoun Lazar: Just a follow-up on Shaurya's question. Your overall revenues were up 4%, but nonprocurement revenues were down year-on-year. I guess you're guiding for revenue growth to surpass 25%. Are you able to give us a bit of an idea of how that looks procurement versus nonprocurement revenue growth? And you've obviously given the guidance for non-procurement, so be handy to get a bit of a guide on procurement versus nonprocurement revenue growth.
Justine Travers: Yes, no problem. Look, we certainly have put in the outlook, we expect that growth in revenue to be higher in FY '26 than we saw in FY '25. So the total pie is greater. I think you can -- certainly the professional services revenue will be a similar proportion of that bigger pie to what you've seen in FY '25. And you can expect to see a little bit of an uptick in the procurement revenue that we see come through in FY '26. And really, we see that growth overall coming -- there's growth coming through the Americas and also Latin America as well.
Robert Christopher Ashton: Yes. Look, I think, just building on what Justine said, I don't think we should miss the opportunity to talk about the headroom potential, the growth headroom potential on the major projects and programs. We see an opportunity to grow the business across the major projects and programs market, different than that which we were pursuing in the past. And the reason we've structured on a global basis because that's what customers want. Customers want us to be able to deliver consistently across a global portfolio of their projects. And we believe that's going to give us headroom for growth. And it's the combination of that as well as the levers -- the other levers that Justine has talked about that gives me confidence that we will still grow in '26. And I think it's important to recognize, we're still saying we're going to grow in 2026. And in 2027 and beyond, we see continued growth opportunity in the business. So I think the -- we've grown for 4 years, 17% CAGR, phenomenal outcome, I think, driven by the great work that the teams have done around the world, still projecting to grow in '26 and projecting to grow in '27 and beyond given the long-term trends of our customers' end markets.
Ramoun Lazar: Okay. And just a follow-up, maybe Justine can take this one. The global support costs fell sharply in the second half. I think they were down 23% year-on-year. Maybe if you can talk around that. And then should we annualize that into '26 as a starting point for those support costs, Justine?
Justine Travers: Look, we certainly -- and I think we flagged at the half year that we did expect the second half -- those costs to come down in the second half. So that's really delivering on what we said we would do. I think it would be fair to say as we look at these programs of work as we go into FY '26 that we could take a similar position into FY '26 around that global support cost.
Operator: Our next question is from John Purtell with Macquarie.
John Purtell: Just had 2 questions, please. Chris, if you can provide a flavor of your latest conversations with customers. I mean I suppose we're pleasantly surprised that you're not seeing material cancellations or scope reductions despite the impact of tariffs.
Robert Christopher Ashton: Yes. Look, so it varies by sector. Chemicals, I would say the chemical CEOs I'm talking to are struggling with the markets they're in, John. Yes? But on the Resource and Energy side, they're making long-term decisions through cycle decisions. And yes, look, they're a little bit maybe by the tariffs and they're working their way through that. But most of them believe that the tariff uncertainty will come to an end by the end of the year with the major global trading partners. And so they're still -- what I'm seeing is from the low -- earlier in the calendar year, the low in confidence we're coming out of that and seeing confidence begin to shift in the positive around investment. That's both on the resource side and on the energy side.
John Purtell: And the second question, Chris, if you can provide some further color in terms of the outlook by key regions. I mean, back at Investor Day, you were quite positive on LatAm, the Middle East and North America. How has that sort of maybe progressed?
Robert Christopher Ashton: Latin America is still strong. Canada is strong, Middle East, strong. North Africa, good. Europe, Europe is a struggle for our customers, just the economic environment within Europe, the regulatory environment within Europe. But the markets that we talked about at the Investor Day in half year, Canada, Latin America, Middle East, North Africa continue to see significant investment. For example, in Saudi, pushing for investment in gas as an example. In Latin America, it tends to be the lithium and some of the battery materials -- battery-related materials investment, but seeing strong sentiment in the region still. And I would say with -- under the current administration in the U.S., I think the way I described it earlier in the year was a net positive. And I still think that it's a net positive. Yes, look, there's the trade -- the tariffs and some of the policy decisions or policy directions or policy statements being made -- give people the jitters, but I continue to see that the U.S. position is a net positive for Worley. If you look -- I'll give you one example, an LNG project got approval, and it was late -- early this week or late last week. And the pace at which that got approval vis-a-vis CP2, I think is an indication of where the administration is going in terms of stimulating and getting energy investment momentum building. So I see it as a net positive, John.
Operator: Our next question comes from Rohan Sundram with MST Financial.
Rohan Sundram: Just one for me. Curious as to the Exxon decision to FID the Baytown project. Can you please just remind us what's Worley's involvement there? And how does that impact backlog? Or what's the status of that project from a Worley perspective?
Robert Christopher Ashton: Yes. So with the EPC on that project, project is full steam ahead. We continue to deliver the engineering. We still continue to work on the procurement activities. And I know there was an article recently or earlier in maybe a month or 6 weeks ago on Baytown Blue. But look, the project status from our perspective, Rohan, hasn't changed. We've still got a team on it. We're still progressing it in line with plan. We're still progressing not just engineering, but also other activities related to the project going ahead. We're not seeing any slowdown.
Rohan Sundram: That's good. Is it in backlog currently or still in pipe? It sounds like it's in the backlog.
Justine Travers: There is certainly some in the backlog...
Robert Christopher Ashton: The backlog, yes.
Operator: Our next question comes from Gordon Ramsay with RBC Capital Markets.
Gordon Alexander Ramsay: Great EBITA margin above guidance. And I just want to kind of come back to this. Your professional service revenue declined 9% in FY '25 due to project mix, but you're able to increase margins across all services. Traditionally, professional services has the highest margins. I'm just really keen to get some more detail about how you're preserving that margin through the other parts of your business.
Justine Travers: Yes. I mean, we've seen margin growth, you're right, in construction and fabrication and procurement margin really given work the teams have done over the last 24 months and that pulling through. We've been able to -- with professional services, we saw some lower volumes come through in the second half, and that was driven -- really, there was some coming through in APAC specifically, but it was offset by activity elsewhere, where we had increased activity in the Middle East and growth there as well. So overall, we've really seen a strength that's now pulled through for the full year from a margin position, and it really is driven by the rate improvement. You have a small impact, of course, we talked about the global costs just before, and we noted that they had decreased in the second half as we'd expected. And so you'll see some impact from that cost coming through the margin, but really rate driven.
Gordon Alexander Ramsay: Okay. And my other question, this financial one relates to cash conversion ratio. Congratulations on being at the top end of your guided range again in FY '25 and you exceeded in FY '24. Your target range for '26 is 85% to 95%. Can we expect that to be towards the top end of that range again in FY '26?
Robert Christopher Ashton: It will be between 85% and 95%.
Operator: Our next question comes from Nathan Reilly with UBS.
Nathan Reilly: I had a question just around CP2 LNG, specifically around Phases 2 and 3. Can you just update us on your involvement in the engineering of those 2 phases of the project? And I was also curious just to understand how you're positioned to support delivery on those phases if and when they get FID?
Robert Christopher Ashton: So Phase 2 engineering is underway. And look, I expect with Phase 1 -- as with Phase 1 will roll into Phase 2 EPC. But it's a different set of financiers for Phase 2. And so the timing of that is the only thing that's in question. I think in VG's release earlier this month, they talked about the January FID for Phase 2. But we'll continue to support them the way that we have on Phase 1, Nathan. Sorry, Nathan, on Phase 3, no, there's been that -- we've not started anything on Phase 3 for them.
Nathan Reilly: Okay. Understood. And then maybe taking a step back away from CP2 LNG, just maybe give us an idea of how you think prospects for additional LNG projects have kind of firmed up in your thinking in terms of pipeline opportunities?
Robert Christopher Ashton: So we're working on different phase, early phases of about another 5 LNG facilities, one of which got FERC approval. Again, I can't remember it's early this week or late last week, but the Alaska LNG project got FERC approval. And so that -- I mean, FERC approval is kind of game on. So I think the LNG market for us continues to present pretty good opportunity, but they're in different phases, but I'm very excited about Glenfarne's Alaska LNG project.
Justine Travers: I think, Nathan, certainly, it is one of the growth areas that as Chris talked about where we think about that revenue growth and how we've been able to increase the aperture of sort of the market available, there's certainly some earlier stage work that we're doing for other LNG projects as well. And as Chris noted, they're at various phases at this point. So we are doing work on FEED on a number of other projects as well.
Robert Christopher Ashton: What I would just say more broadly about LNG demand. There's no doubt that gas is going to be prevalent in -- more prevalent in the energy mix going forward. And if you look at security of supply, the U.S. as a source of that supply is going to be there. And we're working on, I think, another 5 LNG opportunities in different phases. And I just think that LNG integrated gas is one of those areas that provide us opportunity for growth under the new structure. The CP2 is an incredible project for Venture Global. And I think the way they are delivering that project is -- it's going to be a pacesetter and we're their partner on that pacesetter project, and that positions us well for future opportunities in the integrated gas space.
Nathan Reilly: And finally, just an update on the outlook for the DAC, direct air capture project pipeline that you're partnering with Oxy Low?
Robert Christopher Ashton: Yes, it's gone great. So if we look at West Texas, the project there, I'm going to call it Phase 1 and Phase 2. So we're into Phase 2. That's going well. If you look at the Trump's Big Beautiful Bill, if you look at what CO2 for sequestration or for use in downstream production, prior to the Big Beautiful Bill Act, I think for sequestration, CO2 was getting like $30 a tonne, under the Big Beautiful Bill Act now I think up to $180. So the validity or the financial sort of attractiveness and continue to invest in that in the CO2 space is there. And obviously, Oxy is the leader. So we're well in the -- just finished Phase 1, well into Phase 2. And I think Oxy's results or when they went to the market maybe a few weeks ago, they talked about the South Texas DAC hub still being -- having a commitment from their side. And so we're well positioned on that. And that's something that we would put under and is under the major projects and programs because Oxy want global consistency or delivery consistency and the learnings transferred from one project to the second to the third. So yes, all good on DAC.
Operator: Our next question comes from Megan Kirby-Lewis with Barrenjoey.
Megan J. Kirby-Lewis: My first question, just on the focus of the full project delivery and your comment, Chris, without taking on any additional risk. Just keen to get a comment, I guess, on the competitive landscape that gives you confidence in that strategy. And I guess just the willingness of your customers to use you as competitors who are perhaps willing to take on more risk.
Robert Christopher Ashton: Yes. Well, it varies by sector, varies by customer, it varies by geography. But if you look at our big customers in the Resource sector, so the classics of the BHPs or the Rio on the energy side, BP, Shell, Chevron, ExxonMobil, they don't do competitively bid lump sum turnkey EPC risk typically. And if you look at why are we attractive and why do I think we can beat our competitors out? Well, first of all, you look at our financial strength, and our balance sheet and therefore, the confidence in being able to see a project through. I think that's not an item or an aspect to be underestimated. But also, we've got deep relationships with our major customers. And we have done 46% of our work is sole sourced. That's an incredible amount of opportunities that we get without competitive bid. And also, if we look at our consulting group, getting in with our customers and working early positions us for the follow-through in the EPC. And look, the reality is, Megan, and we've talked about this before, the competitive intensity in our space is not that high. It is very different to what it was 5 years ago, 10 years ago. And if you look at even the competitors today in name, we've got 2 of them who have been suspended from trading for a number of months. We have one in the U.S. that went into Chapter 11 and came out of Chapter 11. And so the competitive intensity in the markets we face into lends itself to an opportunity where if you've got a strong balance sheet, you've got competency in terms of your offering, that presents opportunity. And from a risk profile point of view -- I mean, look, from a risk profile point of view, the reason a number of our competitors are challenged is because they've taken on lump sum turnkey PC risk and have been challenged or suffered because of that. We have not done lump sum turnkey EPC. We do not do lump sum turnkey EPC, and we will not do lump sum turnkey EPC.
Megan J. Kirby-Lewis: Very clear. Then just a couple of quick ones for Justine. Just noting the absence of the FX chart this result despite some pretty big swings. So just if there's anything to call out on the EBITA impact from FX in the second half?
Justine Travers: Not specifically, Megan. I think we certainly -- as a multi-jurisdictional company, we really just look to manage that FX exposure across the portfolio. We look pretty carefully around and work with our treasury team around project delivery, where we need to hedge FX and make those decisions. So I didn't have anything specifically to call out really on the FX performance for '25, just really something that we're managing across our portfolio.
Megan J. Kirby-Lewis: Great. And then just on the -- your comment earlier, Justine, just read the little uptick in procurement revenue. Just to be clear, did you mean as a proportion of total revenue? Or were you talking on an absolute basis?
Justine Travers: I think we'll see it both as a -- I think on an absolute basis, you'll see an uptick in procurement revenue in FY '26, and you'll see that percentage increase slightly as a proportion of total aggregated revenue as we go into FY '26. And that's certainly driven just really by the mix of some of the projects that we're pursuing at this point in time.
Operator: Our next question comes from Niraj Shah with Goldman Sachs.
Niraj-Samip Shah: I just had a question, I guess, on the medium-term margin profile for the business. I mean, 9% to 9.5% at a challenging point in the cycle with competitive intensity being benign overhead review and I guess, more upside in GID as well. How should we be thinking about sort of medium-term margins for the business?
Robert Christopher Ashton: Well, we've said that we thought we would get to low double digit in the medium, longer term. And beyond that, clearly, it would be seen as a profit margin that could possibly attract a different level of competition. But we've said we think we can get back to the low double digit, which we were a number of years, many years ago, but we did get that to that point then. The difference being is this would be a risk-adjusted return that we've been delivering in the past. There were, I would call it a raw return. And then a number of years later, the risk associated with the projects that we're delivering that level of profit came back and hit the business. And the way we identify risk, mitigate risk, sort of quantify the risk from a financial point of view and maybe providing contingency, et cetera, very, very different today. So we believe we can get to high single digit, low double digit and in the medium term. And I think hitting 9.2% today and look at the mix of procurement and professional services, guiding to 9%, 9.5%, I think it's a great sort of guidance range in '26. And beyond '27 and beyond with the levers we're pulling and our strategy of strengthen, expand and innovate, I think beyond that, I think there's further opportunity, further headroom.
Operator: Our next question comes from Nicole Penny with Rimor Equity Research.
Nicole Penny: Apologies if these questions have been asked. On Slide 19, you note $3 billion of net scope increases helping replenish backlog. Could you please give us some more color on which sectors and customers that's related to and perhaps what types of scope increases these were, please? And then further on Slide 19, you noted no major cancellations over the last 6 months. While perhaps immaterial to Worley, would you expand on any customers or areas you are seeing some cancellations and whether you've noted any change in the statement up to this point?
Robert Christopher Ashton: I'm going to answer the second one, let Justine answer the first one. Like I said, I'm not aware of any major cancellations. I mean, is the minor changes have slipped the right on small stuff? Yes, there always is. But there's none that have been brought to my attention as CEO as being material, yes. But look, on the smaller side, look, customers are always changing a scope, expanding it, reducing it, starting it early. So that's the normal course of business, but I'm not aware of any material deferrals or cancellations.
Justine Travers: And on the net scope increases, I mean, certainly, given our customer base and where we've got a number of long-term relationships, we're seeing -- we see some of these projects as they move through that there is expansion in scope there that comes through the backlog that we've got. So we've had very strong scope of work in the Middle East, as Chris pointed to, certainly in our joint venture partnership with JESA in Morocco is where we also see really strong project scope coming through. So that's probably -- I'm not going to point to specific customer base, but that's where you're seeing that uptick in the net increases.
Robert Christopher Ashton: Okay. Look, we've got time maybe for one more question, and then we'll leave...
Operator: Ramoun Lazar.
Ramoun Lazar: Just a very quick one on the first half, second half skew. If you could maybe touch on that given the phasing of CP2 in the fourth quarter?
Robert Christopher Ashton: I mean the phasing we're saying is typical of that we've seen in the past. We've always got a first half, second half difference with the second half having a heavier weighting. That's just a function of Northern Hemisphere, summer vacations taking time down. So we're not seeing a material shift in phasing or a shift in phasing materially different to that in 2025. All right. Well, look, thanks, everyone, for joining the call today and your engaging Q&A and obviously, the continued support. I believe it's a great result for the organization. We're in a great position to build on the foundation that's in place and grow the business going forward. And just look, thanks again for your continued support, and I'll meet with many of you in the next sort of few days this week in Sydney, Monday, Tuesday in Melbourne. And any questions outside of those means you have, certainly feel free to contact Kylie Ramsden, Investor Relations, and we'll support you as best we can. But thanks again, everyone. Appreciate your time. Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.